Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2012 ResMed Incorporated Earnings Conference Call. My name is Angela, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. The company has asked me to read -- address certain matters. First, ResMed does not authorize the recording of any portion of this conference call for any purpose. Second, during the conference call, ResMed may make forward-looking statements such as: Projections of future revenue or earnings, new product development or new markets for the company's products. These statements are made under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Risks and uncertainties exist that could cause actual results to materially differ from the forward-looking statements. These factors are discussed in ResMed's SEC filings, such as forms 10-Q and 10-K, which may be accessed through the company's website at www.resmed.com. With that said, I would like to turn the call over to Dr. Peter Farrell, ResMed's Chairman and CEO. Dr. Farrell, please go ahead, sir.
Peter C. Farrell: Thank you, Angela, and I think we still have some time left. And thanks, everyone for joining us. I'll begin with some summary remarks, and then turn the call over to Brett Sandercock, our CFO. And Brett will provide more granularity on the numbers. And then we'll go to Q&A. So first, the financials. A short summary. We finished with a very solid quarter. Global revenues were $349.1 million, up 11% headline growth or 13% constant currency. Revenues in the Americas grew by an extremely robust 18% year-over-year to $189.9 million and ROW revenue increased by 4% headline or 7% in constant currency to $159.2 million. This represents the 69th consecutive quarter in which we've grown the top line that is quarter-over-quarter since we went public in 1995. And obviously we're pleased with that result and will be able to continue that record growth. Net profit after tax increased 21% to $64.6 million while GAAP EPS increased by robust 29% to $0.44 for the quarter. Excluding amortization of acquired intangibles, EPS was a record $0.46. With respect to product performance, let me first start with masks, this category continued to perform extremely well especially in the Americas. The 3 new masks in the FX trilogy, the Quattro FX, the Mirage FX and the Swift FX, as well as the for her versions of these masks continued to enjoy brisk sales. In fact, the Mirage FX is doing particularly well and we are steadily gaining additional share in this category. In fact, our data show that the Mirage FX is currently the biggest selling nasal mask on a global basis. And the new Swift FX Bella, mask for female patients, with loops that wrap around the ears, and this allows us to not have additional headgear, that is also doing very well and we expect to see continuing traction with it. As we've been highlighting in the last few quarters, another big reason we continue to see strong growth in the Mask category, other than the continued introduction of outstanding products, is that there is excellent business in the resupply replenishment to the existing patient base. Our global growth in Flow Generators this quarter was primarily driven by our high-end devices, which are now all on the S9 device platform. Strong sales reflect the benefits of having these products configured on the small but more appealing S9 platform. In the Americas, the S9 VPAP bilevel range is also regaining market share because of its excellent quality algorithms and also the performance that we get with those algorithms. The bilevels are providing strong value proposition for both HMEs and positions. Growth in the basic Flow Generator segment is still problematic and, partially, this is driven by the positive mix shift to APAP or our AutoSet from basic CPAP. And this is primarily due to the ongoing growth of home sleep testing. Europe continues to be challenging due to difficult macroeconomic environment there. Although sales were relatively strong in Germany and the U.K. Although the European economic climate remains somewhat muted bilevels, AutoSets and Stellar Stellar products all continue to do well. We also just announced the release of our new patient compliance management solution called EasyCare Online. This innovative new tool used by sleep labs home medical equipment and DMEs and other healthcare providers aggregates usage and efficacy data from sleep-disordered breathing, obviously patient's on CPAP therapy, with simply a single click. Simple to use while saving time and money. The EasyCare Online employs a secure cloud-based system that provides compliance data that can differentiate our customers and is critical in today's environment. The S9 Flow Generators, our FX mask series plus now the new EasyCare Online bring superior compliance in patient management for quick and easy access to patient data in one centralized cloud-based location, unlimited providers can be associated with each patient to ensure the best possible therapy. We are quite excited about EasyCare Online. Ventilation sales of the Stellar 100 and the 150 continue to grow, particularly in Europe and Asia. We launched the Stellar 150 in Europe at the end of the calendar year and we are seeing incremental acceptance. These ventilator products will roll out progressively over the next few quarters. Of note, the Stellar 150 includes iVAPs, our new automatic bilevel mode. The success of the Stellar is another positive indication of our continued progress in product development. We also have further plans for ventilation. The new Grundler humidification about the HumiCare D900, is in a controlled product launch in Europe and going well. And we are working on FDA's submission to launch the 900 in the U.S. in fiscal 2013. This product will initially launch in the homecare setting which of course is our strength but also are planning to do a hospital lunch. On the HST, home sleep testing front in the Americas, commercial payers continues to steer patients towards HST with the requirement of prior authorization for attended PSG test, or polysomnography, and they are encouraging the use of HST as the first line of diagnosis. Currently, Aetna, United and Humana have pre-authorization initiatives for PSG to steer patience towards HST. We expect this to continue. In 2011, we estimate 15-plus-percent of all test for HST could even be as high as 20%. We expect to see a continuing adoption of HST during 2012 and onwards. My guess, in this area, is that it will increase another 100% this year. On the clinical front, the flow of data substantiating the connection between sleep disorder, breathing and chronic diseases continues to materialize. For example, a new study in the April issue of Pediatrics by Bonuck et al from Albert Einstein College of Medicine in New York, show that early life sleep disorder breathing in children had a strong persistent statistical correlation to serious behavioral and social-emotional difficulties. And by the time the children reach 4 years old, 40 to 100 -- by the time they reach 4 years old, excuse me. And by the time that they're at age 7, the prevalence of these behavioral and emotional difficulties was between 40% to 100%. The study published also in circulation, Heart Failure by [indiscernible] from the University of Birmingham, showed that moderate to severe obstructive sleep apnea can cause changes in the heart shape and function, that is increased mass, thickening of the heart wall and reduced pumping ability. The new study used to better define and control patient group in newer 3D echocardiograms. And then New York University reported results of the study that showed simply using BMI misses nearly 40% of sleep disorder breathing in obese patients. And as much as 50% of sleep disorder prevalence in women. Obviously, this is something that suggest that BMI is not what it's touted to be and the people probably ought to be having sleep tests as a standard of care in just about all patients. We expect that, that will come in the future. And as a brief update, our own clinical study which is the SERVE-HF on the use of adaptive servo-ventilation to treat chronic heart failure patients or sleep disorder breathing in chronic heart failure patients, we now have 1,000 patients currently enrolled. A quick update, before I pass over to Brett, our management changes. Karen Borg has been appointed as President of Asia Pacific and that was in January of this year. Her career prior to joining ResMed had commercial diversity covering strategic and global marketing, M&A, sales and general management. And during the past 20 years, Karen has worked in Australia, the U.K., Russia, Taiwan and the U.S.A. And more recently, since 2003, she was in the leadership roles with Johnson & Johnson and both Australia and the U.S. Anne Reiser has been appointed President, Europe, and that was in March of this year. Anne has previously served as ResMed's Chief Operating Officer in France since 2007. Anne has demonstrated a great track record in building and leading our successful French organization with both strong sales growth and market share increases. Prior to joining ResMed and worked in various European companies for such companies as Zimmer, American Home Products, Hollister and the most recent one was Medtronic. Now I'll turn the call over to Brett to provide some additional granularity on the financials, then we'll take any questions. Brett?
Brett A. Sandercock: Right. Thanks, Peter. Revenue for the March quarter was $349.1 million, an increase of 11% over the prior year quarter. And in constant currency terms, revenue increased by 13%. Income from operations for the quarter was $76.5 million, an increase of 20% over the prior year quarter. And net income for the quarter was $64.6 million, an increase of 21% over the prior year quarter. Diluted earnings per share for the quarter was $0.44, an increase of 29% over the prior year quarter. Gross margin for the March quarter was 60.3%, up sequentially from Q2 FY '12. On a sequential basis, our gross margin continue to benefit from favorable product mix and, to a lesser extent, favorable currency movements. Looking forward to the balance of fiscal year 2012, we expect our gross margin to be in the range of 59% to 61%, assuming current exchange rates. We continue to execute on initiatives targeted at reducing product costs through supply chain efficiencies, product design and manufacturing improvements. SG&A expenses for the quarter were $101 million, an increase of 9% over the prior year quarter. In constant currency terms, SG&A expenses increased by 10%. SG&A expenses, as a percentage of revenue, improved to 28.9% compared to the year ago figure of 29.5%. Looking forward and subject to currency movements, we expect the SG&A, as a percentage of revenue, to be in the range of 29% for the balance of fiscal year 2012. R&D expenses for the quarter were $28.4 million, an increase of 22% over the prior year quarter. In constant currency terms, R&D expenses increased by 18%. R&D expenses as a percentage of revenue were 8.1%, compared to the year ago figure of 7.4%. Looking forward, we expect R&D expenses, as a percentage of revenue, to be in the range of 8% for the balance of fiscal year 2012, reflecting the strong Australian dollar and continued investment in our product pipeline. As a result of previously announced acquisitions, amortization of acquired intangibles increased to $3.6 million for the quarter, while stock-based compensation expense for the quarter was $7.9 million. We also donated $1 million to the ResMed Foundation this quarter. Our effective tax rate for the quarter was 23.1%, compared to the prior year quarter effective tax rate of 24.9%. The lower tax rate reflects the benefit of lower effective tax rate in our Singapore and Australian operations. Turning now to revenue in more detail. Overall sales in the Americas were $189.9 million, an increase of 18% over the prior year quarter. Sales outside the Americas totaled $159.2 million, an increase of 4% over the prior year quarter. In constant currency terms, sales outside the Americas increased by 7% over the prior year quarter. Breaking up revenue between product segments. In the Americas, Flow Generator sales were $78.6 million, an increase of 14% over the prior year quarter, reflecting strong growth in our APAP and bilevel devices. Masks and other sales were $111.3 million, an increase of 21% over the prior year quarter underpinned by strong contributions from our nasal mask segment and continued growth in accessories. For revenue outside the Americas, Flow Generator sales were $105.5 million, an increase of 4% over the prior year quarter and in constant currency terms, an increase of 7%. Masks and other sales were $53.7 million, an increase of 5% over the prior year quarter or in constant currency terms, an increase of 8%. Globally in constant currency terms, Flow Generators sales increased by 10% while Masks and other increased by 16%. Cash flow from operations was $86 million for the quarter, reflecting strong underlying earnings and working capital management. Capital expenditure for the quarter was $9.9 million, while depreciation and amortization for the March quarter totaled $20 million. Our share buyback continues to play a major role in our capital management program. During the quarter, we repurchased 2.3 million shares, a consideration of $67 million. For the first 9 months of fiscal 2012, we have repurchased 10.8 million shares, a consideration of $302.2 million. The 10.8 million shares purchased year-to-date represents approximately 7.3% of our diluted shares outstanding. At the end of March, we had approximately 11.6 million shares remaining under our authorized buyback program. Our balance sheet remains strong, net cash balances at the end of the quarter was $540 million. And of 31 March, total assets was the $2.1 billion and net equity was $1.6 billion. I will now hand the call back to the operator for your questions.
Operator: [Operator Instructions] Your first question will come from the line of David Low of Deutsche Bank.
David Low - Deutsche Bank AG, Research Division: Let's see if we could start with the bilevel result. I mean, I'm trying to get a sense of whether after the difficulty you had a year ago, whether you think sales are back to normal? Or whether you think that will remain a driver for the next quarter or so?
Peter C. Farrell: Well, as you were aware, David, in the old S8 box, in fact, the adaptive servo-ventilator, the ACS products were in the S7 box, which is really outdated. So I think the switch to having the bilevels and all the auto setting products including the ASV products in the S9 platform, as I said, has just really attracted people. Now whether we're back to, you can always do better, we were very encouraged, obviously, by the fact that people did gravitate back to our bilevel products. I mean the algorithms were all pretty solid. Maybe I'll ask Geoff to comment on that but I -- and Don maybe, but I think we still got some more, we got some more runway ahead of us with bilevels. We'd like the whole market, but that's a bit unrealistic. But we're very satisfied with where we are. You want to add anything?
Unknown Executive: I think there's a bit of runway way ahead of us as well. But we're quite happy with where we are at the moment.
David Low - Deutsche Bank AG, Research Division: It's really important whether the dollars are sort of empowered where they were prior to the decline?
Peter C. Farrell: You mean in terms of percentages?
David Low - Deutsche Bank AG, Research Division: Well, percentages or dollars. Just to add [indiscernible] or whether 75% back.
Peter C. Farrell: We'd be just giving qualitative -- we don't get to that sort of granularity, David. As I said, let's leave it. We still have some runway to go.
David Low - Deutsche Bank AG, Research Division: Okay. The other topic I wanted to touch on was the rest of world sales. We've now seen, for a few quarters this year, we've seen sales great in a bit of a single-digit. I'm just wondering, if you could comment on what you've seen. I'm sort of particularly interested in breaking between European sales and what you saw and Asia Pacific region?
Peter C. Farrell: Well, as we've always said, the Asia Pac area tends to be a bit lumpy. We saw actually quite encouraging growth in India and China but obviously that's from a small base. The big markets there are Australia and Japan, and Japan tends to be extremely lumpy and you see these swings in the quarter but you're only looking at to say in the vicinity of 10% -- 9%, 10% of our total revenues in Asia Pac. Europe as we said on the last call, and as we still believe, the market there is 6% to 8% looking at their constant currency growth that's exactly where it was right bang and smack in the middle, 7%. I had mentioned that Germany was encouraging and that the U.K. was encouraging. France was less encouraging and the reason is this is still, if you like the post headache from the reimbursement changes in last October, where there was a 6% reduction. We see France coming back into the fold and that was probably the major reason given that our biggest market, obviously, is the Americas, which is around 54% and then you've got the next 2 biggest markets are Germany and France. So a little bit of weakness in either of those is obviously going to impact the numbers. But I think actually, we were reasonably encouraged with the European figures, given that there is a bit of a -- as you know, a malaise in the world economy.
Operator: And your next question comes from the line of Ben Andrew with William Blair.
Ben Andrew - William Blair & Company L.L.C., Research Division: I wanted to just follow up -- a question for you and maybe a question for Brett, if I may. For you Peter, talk about your view on the durability of the mix dynamics? And I get the sense that a major contributor to your revenue growth but also supporting unit growth, particularly, the overall growth number. And how many quarters or years do you think we have as a tail from bilevel and a conversion to auto?
Peter C. Farrell: Well, it's sort of a gradual thing, Ben, although we're seeing an acceleration of AutoSets and that is driven, we think, primarily, by the HST push. And there's a lot of runway there if you like. And basically, what were talking about here is that it's faster, better and cheaper if you like. And I think the insurers are now tweaking to that fact. The sleep labs will continue in their role, I mean, there are 90 different sleep disorders but one of them shouldn't be plugging up the labs, particularly, since a 5-year-old child -- recently some 5-year-old child would be able to diagnose the disorder breathing given the HST products that are around, not just ours. And the patient that's given the HST device immediately goes home that night and within a day or so is on treatment, whereas with the sleep lab you've obviously you've got the delay, you've got to wait until you can get into the labs and it might be a couple of weeks up to a couple of months. And what we've seen is that our data have shown that -- all data that we've paid to collect have shown that roughly 30% of patients who have been given a script to go to a sleep lab don't show up. Whereas if the sleep lab offers both HST and PSG, it tends to be more like 2%. So it's even in the interest of sleep labs to offer HST independently the fact that the Aetnas and Uniteds and Humanas and so forth are now requesting pre-authorization. So it's kind of a long way to answer your question but we see that continuing, I said I think it'll be probably up -- it could be something like this time next year, something like 40% of all tests. And all going well, if we had our wishes it would be cardiologists, endocrinologists and anesthesiologists all doing sleep tests and referring only the tough ones to sleep labs or sleep physicians. I think we see that happening. It may not be the cardiologists and endocrinologists themselves doing it but maybe the nurses or nurse practitioners and it's certainly much better for the patients and given the prevalence in those spaces, that is in Type 2 diabetes and cardiology in general. In fact, I've heard from a cardiologist the other day that he said that 40% of his patients have sleep disorder breathing and I figured, the figure that we use is about 50% and these aren't patients with heart failure, these are just the regular patients with A-fib or whatever else is wrong with their heart.
Ben Andrew - William Blair & Company L.L.C., Research Division: Sure. And so I guess, Peter, coming back and that's a helpful description, but coming back to the durability on that mix dynamic, it sounds like it's not 4 quarters, this is in your mind 2 or 3 years plus. So that helps offset the weakness you're seeing obviously in the low-end as well as give you much better pricing power versus trying to compete at that low end against whatever else is going on out there. Is that a fair way to think about it?
Peter C. Farrell: Yes, I think that's a fair assessment. We see continual weakness in the low end. And as HST kicks in, you don't have the option of going to the sleep lab, so you would actually have to go to an APAP, [indiscernible] and AutoSet. And we see that continuing to happen. That doesn't mean -- I mean sleep labs are not going to go away, but you're right it's not -- this is not 2 or 3 quarters, this is 2 or 3 years of the switch occurring. But it might happen more quickly, I mean, maybe that people just tweak to it and say, "You know what? We're going to push this." And it's not as though -- I mean for the IDTFs, for example, I mean, they're getting something like $20 for doing oxygen tests, I mean, the oxygen level of the patient, SpO2, and they get $200 to $250 for a sleep test. I mean that's pretty -- it's pretty attractive to the independent testing facilities.
Ben Andrew - William Blair & Company L.L.C., Research Division: Okay. And then perhaps for you, you gave us a little bit of a directional help on gross margin, the effect of currency, can you kind of walk us through the P&L and how currency affected your top through the earnings and give us a sense of what was in the other line this quarter, because I know it does move a lot of fair bit. And then I just wanted -- I was hoping that you could give us where you think the effective share count will be for the fourth quarter?
Brett A. Sandercock: Yes. In terms of the overall P&L, on the top line year-on-year the impact on currency was around $4 million negative. If you work through all the currency through to the bottom line, it was an adverse impact of $0.02 for us this quarter, so that was on the currency front. On the share front, the weighted average share, I think, where we finished the quarter was probably around 146.5 probably a number that the south of that would be probably where we estimate Q4 at.
Operator: And gentlemen your next question will come from the line of Matthew Prior of Merrill Lynch.
Matthew Prior - BofA Merrill Lynch, Research Division: Just a two-part question. Just, Peter, if I could, can I just check the U.S. industry growth rate is still that 6% to 8% that you've been talking the last couple of quarters. I know you mentioned that in the year but you just checking it with the U.S. and just in terms of the whole home sleep testing contribution to the industry growth and the doubling comment that you made. Are you saying that these sleep labs, traditional PSG guys, getting involved in the HST game at all?
Peter C. Farrell: Your first question, Matt, on the growth, we still think it's 6% to 8%. We're obviously extraordinary happy with the growth in the U.S. I mean 18% is not something that we would've predicted but we were coming off fairly weak comparables from Q3 of 2011. So that certainly explains a lot of the growth there. So 6% to 8%, yes, that's what we're still using as the expected growth in the U.S. market. As far as sleep labs are concerned, yes, we are seeing more adoption of HST and it's hard to know how fast that will go. I mean, if you're the sleep lab and you're getting $1,200, give or take, for a PSG versus $250, say, for the HST, obviously, there's an incentive financially to do as much of the PSG stuff as you can, but there will be continual pressures there, and I think if the lab realizes that they're actually missing out on patients because of the inconvenience. I mean, patients have to bring a duffel bag in, stay overnight and get all wired up, et cetera, et cetera, and generally it's a few weeks before you can get into the lab and so on and so forth. And I think that there will be more and more of the labs adapting HST, at least offering one or the other. And how quickly that -- like anything, conservative labs who think it's bad practice or they just want to get involved then other labs who are more entrepreneurial. So you see the writing on the wall and it is on the wall. They will be the early adopters, the entrepreneurial ones. So we see that continuing.
Matthew Prior - BofA Merrill Lynch, Research Division: So it doesn't sound, Peter, as if it's a main contributor to that 15% or even 20% in some cases, you think that the PSG guys are really yet to weigh in to this, which could be another factor to HST takeup ...
Peter C. Farrell: Well, I'll throw that to Mick, he's the president of Americas, but what would you say to that?
Michael J. Farrell: I'd say that 25% to 30% of sleep labs are actually now experimenting in home sleep testing. So of that trailing 12 months, where we're looking at 15% to 20% of the tests being home sleep test, a large portion of that will be the IDTFs and the entrepreneurial home sleep testing companies that are out there. But a growing portion of that is sleep labs that are starting to recognize, not only as we talk about that it can reduce the leakage rate when you offer the choice of home sleep testing versus PSG. But also that sleep labs are realizing that just under 20% of the covered lives in this country, now have pre-authorization requirements for PSG. And that is up from 15% just 90 days ago. So they're watching this trend and they're saying, I want to get involved in this and get ahead of this curve, so that I can appropriately and properly treat my patients. So they're definitely getting involved. But to your point, Matt, I do think there's runway ahead as they get more involved over the coming quarters and fiscal years.
Matthew Prior - BofA Merrill Lynch, Research Division: Great. My second question was just in regards to round one of competitive bidding. We hear a lot of anecdotes around the impact of round one, not so much in terms of obviously the price reduction in the 34%, but more in regards to the slowdown in volumes that have occurred in those 9 MSAs. Can you just talk to whether or not you've seen that or give us any kind of anecdotals around the impact in round one on volumes?
Michael J. Farrell: Yes. So, Matt, it's a great question. So we're running a real-time experiment in those 9 Metropolitan Statistical Areas, those 9 MSAs. And we're just entering the fourth quarter of running and were able to compare the 3 quarters that we've seen of the 3-quarter [indiscernible] in those 9 cities and we found that the growth rates within those 9 MSAs that we're into round one are equivalent to the general market growth rates across the U.S. market. So we have not seen a slowdown in revenue. We did see sort of split of 2 categories of customers within those, where you have the winners and the losers. The winners within those 9 cities, clearly, grew at a much faster rate and the losers started to decline in their purchases from us, which is logical. But the total volume, when you look at the mix between the winners and losers was a consistent revenue story. What you also saw is some of the winners were more sophisticated customers with larger economies of scale, larger abilities to go after install patient base and to market and sell replenishment programs to get patients who maybe, who are not as adherent and compliant to their device and regular use of masks and filters and tubing on a regular base. So you know, all in all, in those 9 cities, it's been a wash with some winners and some losers but we see good potential in partnering with the types of companies that have been winning in those areas.
Operator: Ladies and gentlemen, your next question will come from the line of Joanne Wuensch of BMO Capital Markets.
Joanne K. Wuensch - BMO Capital Markets U.S.: One of my questions have been answered. Your long-term debt increased in the quarter, is that associated with share repurchases?
Peter C. Farrell: Primarily, yes. Brett, you do want to...
Brett A. Sandercock: Yes, that's exactly what I was going to say, Peter, yes. It will pretty much will be associated with the buyback, yes.
Joanne K. Wuensch - BMO Capital Markets U.S.: Okay. CareFusion, how are they doing in the hospital environment which your new ventilator products?
Peter C. Farrell: It's still early on and the sales, obviously, selling to the hospital is a longer sales cycle. They're pitching the product to hospital customers and we're seeing some interest. They have a pipeline of interest that we've been reviewing with them but it's still too early to say.
Joanne K. Wuensch - BMO Capital Markets U.S.: The conversation that we've been having about home sleep testing, is it the -- the shift appears to be not that is bringing more people into the pool but that it's a shift from Mr. Jones doesn't go to the lab, he goes into the home. Is that the right way to think about it?
Peter C. Farrell: Yes, I think so. It's too early to draw any other conclusions I think. However, I think we're going to see, as the word gets out to the primary care physicians and so forth, what we've seen over the years is if you go back, let's say 5 or more years, PCPs in general were bamboozled by sleep disorder breathing, they virtually weren't looking for it. Now they're aware of it and the big -- they're ignorant of the existence of it. Now the ignorance tends to be more along the lines of the signs and symptoms, like they didn't think of referring patients for sleep test as often as they should but some of that resistance, we believe, and we need more data on this, we believe is, "Oh my God, if I send a patient to write a script for a sleep lab, it's going to be 1 to 2 months. And then, it's just I know they won't do it or blah, blah, blah. If they, themselves, either get involved in HST, which they easily can, and were trying to work out some strategies, whereby we make it easy for them to do this or hook them up with IDTFs or VirtuOx or IDS or Midmark or one of the others. But without -- I think we'll see some movement there and we'll see a pick up in, I think, diagnosis the use of HST beyond the sleep people themselves. And that will...
Joanne K. Wuensch - BMO Capital Markets U.S.: Is there an economic benefit to you of the home sleep testing? And can we quantify that?
Peter C. Farrell: Well, yes. I mean, the economic benefit is that the patients have to go on to an auto-setting device and that we get an uptick in revenue for that reason. In other words, you don't have the option of going to -- you don't do HST and then send the patient to a sleep lab to have the device pressure set. And the fact is, that there is now a substantial amount of literature showing that, in fact, if anything compliance is better with auto-setting products. It's certainly no worse, we can say that. And there are data that's coming from Europe, from Canada and from the U.S. which supports that. So I don't think physicians now are concerned about a compliance issue and, of course, it benefits us with a slight uptick in revenues.
Joanne K. Wuensch - BMO Capital Markets U.S.: My final question is a lot of companies had an extra selling day in the month of February and they've been able to quantify the impact to revenue. Did you have that occur?
Brett A. Sandercock: Joanne, it's Brett. Yes, we did have that extra day on us. But if you average that out it'd be in the order of $5 million or something around that sort of number.
Peter C. Farrell: It might be more like $3 million to $4 million maybe, whatever.
Operator: [Operator Instructions] Your next question will come from the line of David Clair from Piper Jaffray.
David C. Clair - Piper Jaffray Companies, Research Division: I'm just wondering, can you talk about the Medicare prepayment reviews that are going out for CPAP? And do you expect those to have any kind of an impact on your business?
Peter C. Farrell: Well, I'll turn that to Mick.
Michael J. Farrell: So there are always Medicaid getting involved with select customers and one of the biggest issues with our customers right at the moment for Medicare is the number of audits going through from -- versus just the prepayment is just another issue they deal with. We think that there are many opportunities in the growth area within the market for customers within their Medicare as well as their private pay customers. Medicare constitutes just around 20% to 30% of the market and for some customers it sort of 5% to 10%. So there are challenges with Medicare as a payor, but they're also a big chunk of the payor market, so there's some opportunities there as well.
David C. Clair - Piper Jaffray Companies, Research Division: Okay, great. And then I appreciate the color on HumiCare, that we should see that in fiscal 2013. Anything else in the pipeline you'd like to highlight?
Peter C. Farrell: I'll refer that to Geoff. Do you want to comment there?
Geoff Neilson: Well, obviously we're doing a controlled product launch of HumiCare in Europe, we expect to be launching in fiscal '13. We're currently putting together the 510(k)submission, which will go in shortly. So we could expect to launch that when that comes through with the FDA approval. We obviously have a pipeline that we're working with Grundler on in terms of humidification portfolio. But obviously, what we're looking at now is doing a proper job at launching this first product to homecare and then to the hospital.
Operator: And your next question comes from the line of Saul Hudassin with Crédit Suisse.
Saul Hadassin - Crédit Suisse AG, Research Division: A quick question, you mentioned some further plans for the ventilation business. I'm just wondering if you could elaborate a bit on what that might entail?
Peter C. Farrell: Well, we've just, well, not just, at the end of the calendar year, released the Stellar 150 with iVAPS and basically we have a commitment to this space now, I mean Geoff has been building up the strategic business unit in respiratory care and we're going to continue with product evolution and we think in one case we might have -- it's probably not, you wouldn't describe it as a revolution, but we're working on some interesting future products. Put it that way.
Saul Hadassin - Crédit Suisse AG, Research Division: Okay. And then maybe a question for Brett. The constant currency growth in R&D since it picked up in the last 3 quarters, is that kind of a new run rate that we should be thinking about? And is that tied into increased investment on the ventilation side of the business?
Brett A. Sandercock: There's probably, I mean, the acquisitions we undertook earlier in the year would probably, that would tick that up a little, by a couple of percent Saul as well. So probably our run rate would be a little low, probably sort of mid-teen type run rate. We've, I mean, at the end of the day, we really wanted to put our R&D dollars into the products we want to deliver into the markets. So that sort of drives the R&D spend. Through the course of this year, it's gone a little higher but it doesn't mean to say, necessarily trend down a little bit as we go through fiscal 2013 for example. So it's really dependent on where we're driving in terms of product development and what stage we're at on some of the projects.
Peter C. Farrell: Yes, and to add a bit more there, there was an uptick with the health informatics, of course. We got, I mean, Don Darkin and his team did a terrific job getting EasyCare Online out and that was a monster challenge. And we have to do it. So a lot of resources were put into that and there were newer resources. And of course, as Brett says, the acquisitions.
Operator: And ladies and gentlemen your next question will come from the line of David Stanton of Nomura.
David Stanton - Nomura Securities Co. Ltd., Research Division: Look, just 2 things, firstly, Peter, perhaps you give us a bit of an update on the timeline for the results of the SERVE-HF trial. And for Brett, lower-than-expected tax rate than were expecting, should we be thinking that kind of tax rate ongoing?
Peter C. Farrell: David, on the survey, I mentioned that we hit 1,000 patients. The plan is 1,260 this is not something that's going to be over quickly. And, however, what we are doing is we're doing a little side studies. I mean, the end points here are mortality and morbidity and they're pretty hard-nosed end points. But what we're also funding, some out of the ResMed Foundation and some direct from the company, are smaller studies where we're looking at ejection fraction, echocardiography and so on so forth. There should be some quick -- quicker results out of that. But I think to move the needle, it will be the survey and we're talking a couple of years more before we have anything that we can really talk about, sadly. It's expensive but that's just what you got to do.
Brett A. Sandercock: David, on the tax front. I'm comfortable with that 20%, 23% level at the moment in shorter-term. Basically, as we sort of ramp-up or increase production in Singapore, there's probably some opportunity there, the tax rate may adjust a little lower than that into the future. But at this point in time, I'm comfortable around that level.
Operator: And your next question will come from the line of Steve Wheen with JP Morgan.
Steven D. Wheen - JP Morgan Chase & Co, Research Division: Just a question with regards to pricing. You've obviously mentioned in previous quarters that ASP declined is sort of [indiscernible]. So I just wonder if you're seeing the same sort of of dynamic at the moment, particularly when some channels we speak to are highlighting that on the APAP side, there has been some price increases off from you guys?
Peter C. Farrell: Put it this way, that's news to me and I think to people around the table. Gee, it's a lovely thought. But I think we're seeing something like a 2% to 3% to 5%, 5% is thankfully at the high end of what we're seeing. I mean, I had to predict that I mean, obviously, any time the DMEs and the HMEs have an opportunity to bring in some bad news, which they have all result in price reductions, they will do so. So this is not a new game. This is a very, very old game. But we're not seeing anything untoward with ASPs and we're certainly not seeing any increases with our devices. We think they're worth more but it's hard to get people to pay for what they're really worth.
Steven D. Wheen - JP Morgan Chase & Co, Research Division: Okay. Given the dynamic that's going on, in APAP could you see that particular category remains -- pricing remains flat and that it was not subject to price decline?
Peter C. Farrell: Well, let Mick take a shot at that.
Michael J. Farrell: Yes, Steve. Maybe what you're seeing is the blended ASP. There's some effects where it could be neutral, but certainly within a category, we're seeing that and I think on previous calls we've said a 5% to 7% per annum price reduction is what we see, we're saying in this call it's around 5%, which is about where we're at, but if you move from a CPAP to an APAP category and you move your mix in that, your blended ASP can appear neutral for a customer. But within the category of order set, there has been no increase in process and in this macroeconomic environment, I don't see going forward either and that sort of 5% go forward ASP reduction and we have to get off of it now, cost reductions and supply chain improvements, and to keep that gross margins really are is sort of where we're at.
Peter C. Farrell: I mean, obviously, internally, if we see much slower growth in the low-end and higher growth in the higher-end, well our ASP is going to go up as an average.
Steven D. Wheen - JP Morgan Chase & Co, Research Division: Yes, okay. And then just finally with regards to masks and your accessories in the U.S., you previously indicated that the DMEs haven't been, well, historically, have been refreshing the masks for their customers as regularly. Is that sort of -- are people trending now to replace masks in line with their reimbursement programs, now? Is that what's underpinning that growth?
Peter C. Farrell: Well, there's a lot of potential runway there. Clearly, when we look at the average number of masks sold per device per annum, we just see it is a huge opportunity for both us in the DMEs in HMEs. I don't know, Don, whether you want to add anything to that, but this is an area which -- when you've got millions of patients that are out there now and it's close to 6 million in the U.S. and we see it's less than 50% of what the revenues could be in that space. Less than 50%.
Donald Darkin: Yes. I think, as we are trying to push on this adherence compliance process, we're seeing more people coming on board with these programs. And, again, there's quite a bit of room here for us to adjust in a positive sense.
Operator: And your next question comes from the line of Ben Haynor with Belt & Company.
Ben C. Haynor - Feltl and Company, Inc., Research Division: Just as a reminder, how much of the manufacturing is currently or has currently moved to Singapore?
Peter C. Farrell: Rob, you can take that? We're getting close to 50%.
Robert Douglas: Continual incremental and there has been quite a shift from the last year of additional increments and yet it's not quite 50% but it's getting there on product mix basis.
Ben C. Haynor - Feltl and Company, Inc., Research Division: And is 50% kind of a goal? Or would you go beyond that?
Robert Douglas: Well sort of in terms of the longer-term strategy, we'll be looking now at other sites and we actually have a facility in Malaysia as well that started up out of some of the headgear stuff that we've done and we'll be looking at that and other options to where we go in the future.
Peter C. Farrell: But the Singaporean environment is, they have well trained people and they're willing to work with you on the tax front and quality people with reasonable charges is attractive.
Robert Douglas: And capacity utilization, obviously, one of the other key factors in keeping it efficient, so we like Singapore.
Ben C. Haynor - Feltl and Company, Inc., Research Division: Sure. And if I could follow up with one more. Last quarter, you talked about initiative to notify long-time CPAP patients with the benefits of newer devices. Could you just comment on what how's that coming along?
Peter C. Farrell: Yes, well the warranty on devices. So in our manuals, it's a 5-year life, if you like. I mean, we get patients that have been using our devices happily for over 10 years and when you pull them apart, you sometimes get a bit of a surprise. But we are sort of trying to get the word out to people, particularly, since over the years, the algorithms have improved significantly, the noise levels have come down, the performance overall is just so much better. We think the patients will be better off by switching their units out and we do have a program to do that. And Rob maybe you can talk but -- more specifically we're trying to, if you like, focus on the S8, the previous line of products, and switch them out, S8 and even the S7, I guess. And there a lot of those still out there and the S7s are well and truly over the 5-year mark. And the S8s have now I think we're probably, I would imagine earlier a few hundred thousand now that are not at the 5-year mark. So we see that as an opportunity and we're sort of trying to make a full-court press to make it attractive for patients to upgrade. Rob, do you want to add?
Robert Douglas: I think that we just think the S9 is going to be providing better therapy and it makes good sense for people to move onto it.
Peter C. Farrell: And we recommend that at the end of the 5 years that you have a maintenance anyway. And why spend the money on maintenance if we have an attractive price for an upgrade like a trade-in as opposed to maintenance. And we are recommending that after 5 years, you really do need to have your device looked at. So instead of spending money out of your pocket on an old device, why not upgrade. That's the pitch.
Operator: And your next question will come from the line of Michael Matson with Mizuho Securities U.S.A.
Michael Matson - Mizuho Securities USA Inc., Research Division: I guess I just wanted to follow-up on what Mick was saying about the analysis that you guys had done on the 9 MSAs. I understand that those are comments on volume but I guess I'm just wondering what you saw with regard to pricing especially given the bifurcation you mentioned between the winners and losers, it seems like some of those winners would end up buying CPAPs in larger quantities, so would they then be getting better prices on this units, the masks and flow generators that their buying or not. So did you see any impact on your pricing in those cities?
Michael J. Farrell: Yes, Mike, good question. My comments we're actually about revenue. So saw that the winners that their revenue and, obviously, their volumes but their revenue grew and that the losers -- that they're revenue decline with us but on wash on a revenue basis it was a neutral element for us. So we were actually able to see that across those 9 cities we were revenue neutral. So my comments were around revenue not just volume.
Steven D. Wheen - JP Morgan Chase & Co, Research Division: Okay. Got it. That's helpful. I guess, there has been some interest in the potential requirement of truckers getting tested for sleep apnea. And I guess there were sort of a league of the federal motor safety. -- Federal Motor Carrier Safety Administration proposal this week or maybe it was last week. And I'm just wondering if that kind of was consistent with what you expected it to be, I think there were seeing a BMI over 35 they have to be tested. And then I'm just wondering what percentage of the population you think what kind of fall into that range.
Peter C. Farrell: Yes. Well, none of that was a surprise. It was a surprise to us that it was the directive was issued and then later that day, it was retracted, and that was last week. It was sort of bizarre. I mean the Secretary LaHood comes in and says, it was a clerical error and it shouldn't have gone out. I mean we don't see any changes to that. We think it's going to come down from 35 to 30 BMI. And as I indicated in my remarks, BMI is a very loose way to decide on who needs a sleep test because 50% of people, in fact, with SDB, I will say, are not obese and it's due to other problems like retrognathia and Marfan syndrome and a whole bunch of other things. Obesity obviously impacts. There are 9 million commercial drivers in this country. We see it as a big opportunity. And frankly, we are just puzzled. We've been heavily involved in working with the National Transportion Safety Board and the Federal Motor Carrier Safety Administration. In fact, our people have been, as I say, the staff really in terms of drawing the issue to peoples' attentions, we work with, as you know, Schneider trucking. We're also facilitating some publication of a study which was done with J.B. Hunt commercial drivers as well and that'll be coming out in the next few months. Again, suggesting that it's a very wise thing to have these people tested for sleep disorder breathing. As far as the prevalence, there's a wide range but the data that we think is pretty robust it's roughly 30% of all drivers have it at a level which is significant enough that they really do need to be sleep tested and treated. So it's big. And if you translate 30% of all those commercial drivers, I mean, it's 2.5 million to 3 million drivers and it could even be higher. I mean, as the data come in. The more we dig in these areas, the bigger the numbers or the bigger the prevalence tends to be. So yes, we think it is an incredibly exciting area and it's exciting because it's preventive of accidents, improves quality of life and reduces the cost for the carriers because there's less turnover by the drivers, they feel better, they work better, and we've got all the data, it's like the Holy Grail, if you prevent accidents, you improve peoples' quality of life and you save the company's money. And we think the FMCSA is being a little too prescriptive. But sending out that, publishing that they're going to do it and then the same day, retracting it, just is bizarre but maybe it's not a surprise, it is the government.
Steven D. Wheen - JP Morgan Chase & Co, Research Division: Okay. And then just a really quick final question for Brett on the EPS impact of currency in the quarter. What was that?
Brett A. Sandercock: Yes, for us it was a negative impact of $0.02 on the bottom line this quarter.
Operator: We are now at the 1-hour mark. So I will turn the call back over to Dr. Peter Farrell for his final comments.
Peter C. Farrell: Well, thank you, Angela, and thanks, everybody, for listening. We'll stop it right there.
Operator: Ladies and gentlemen, we thank you for your participation in today's conference. This does conclude the presentation, and you may now disconnect. Have a wonderful day.